Operator: Welcome to the Fourth Quarter 2013 Phillips 66 Earnings Conference Call. My name is Shannon, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Mr. Clayton Reasor, Senior Vice President, Investor Relations, Strategy and Corporate Affairs. Mr. Reasor, you may begin.
C. C. Reasor: Thank you. Good morning. Welcome to Phillips 66 fourth quarter earnings conference call. With me this morning are Greg Garland, our Chairman and CEO; our CFO, Greg Maxwell; and EVP, Tim Taylor. The presentation material we’ll be using can be found on the IR section of the Phillips 66 website, along with supplemental financial and operating information. Slide 2 contains our Safe Harbor Statement. It’s a reminder that we’ll be making forward-looking comments during the presentation and our Q&A session. Actual results may differ materially from today’s comments, and factors that could cause these results to differ are included here on the second page of the presentation as well as in our filings with the SEC. With that said, I’ll turn the call over to Greg Garland for some opening remarks. Greg?
Greg C. Garland: Thanks, Clayton. Good morning, everyone. Thanks for being with us today. We ended 2013 with a solid quarter. We operated well. It allowed us to capitalize on favorable crude differentials while exporting record volumes of refined products. Our adjusted earnings for the quarter were $800 million and our cash flow from operations excluding working capital was $1.3 billion. In the fourth quarter we hit a new record, exporting nearly 200,000 barrels a day. Our total export capacity is just over 400,000 barrels per day, up from 285,000 barrels at the end of 2012. Our full year 2013 adjusted earnings were $3.6 billion, which is down from 2012’s adjusted earnings of $5.3 billion. 2013 was a volatile year in our Refining business. Adjusted earnings for this segment decreased $2 billion compared to 2012. However, in line with our strategy the Midstream, the Chemicals, Marketing businesses, all recorded higher earnings year-over-year. Operating excellence continues to be a strong focus for us. We believe that we protect and enhance shareholder value by being a leader in personnel safety, process safety, environmental excellence and reliability. During 2013 Phillips 66 DCP Midstream and CPChem were again among the very best in their respective industries. We believe that our assets are uniquely positioned to benefit from the American energy revolution, and we have a strong portfolio of reinvestment opportunities across our businesses. If you look at 2014 capital budget for Phillips 66, we’ve announced $2.7 billion and we believe this reflects the opportunities that we have, including our share of expected cap spending by DCP, CPChem and WRB, the 2014 capital program is expected to be $4.6 billion. Of this $4.6 billion about 70% is directed towards Midstream and Chemicals opportunities. These businesses drive growth and enterprise value appreciation to infrastructure investment and capturing NGL value uplift. Our projects such as the U.S. Gulf Coast Petrochemical complex and the Sweeny NGL fractionator and the LPG export facility are expected to be large contributors of EBITDA, giving us to grow and make more stable and higher-valued segments. In the next five years we expect Midstream and Chemicals to represent about two-thirds of our company's enterprise value. Final investment decisions for both the NGL frac and the LPG export facility are expected during the first quarter of this year. We’ll start up with the fractionator in mid-2015 and the LPG export facility will follow about a year later. Our Refining business is attractively situated to capture value from rising U.S. and Canadian crude production. We do expect that average margins over the next five years will be better than the last five years. We’ll continue to run well, optimize, improve returns and limit growth capital in Refining. Cash growth from Refining will be directed towards the higher-valued segments and towards meeting our obligations to the owners of our company. We understand the importance of being a good allocator of capital and we see value in returning capital to our shareholders. During 2013 we distributed over 50% of operating cash flows in the form of share repurchases and dividends. We continue our commitment to a secure, competitive and growing dividend and we’ve nearly doubled our initial dividend. Our Board has authorized $5 billion of share repurchases. In addition, in December we announced the exchange of Phillips Specialty Products shares for Phillips 66 shares currently held by Berkshire Hathaway. This represents approximately 18 million Phillips 66 shares at current prices. And you add that to the 44 million shares outstanding that we’ve repurchased since the spin, was effectively taking in about 10% of the company. In addition, we’ve strengthened the balance sheet, we’ve paid down $2 billion of debt and that takes our debt-to-cap to about 22%. So we like the opportunities we have before us. We believe we have a portfolio of projects, people and capabilities to play our part in developing the American energy landscape. We’re excited about the plans and the challenges that lie ahead of us in 2014 and beyond and we look forward to seeing you and telling you more about this at our Analyst Meeting in April. And with that, I'm going to hand the call over to Greg Maxwell to take you through the quarter results.
Greg G. Maxwell: Thanks, Greg. Starting on Slide 4, fourth quarter adjusted earnings were $808 million or $1.34 per share. The only adjustment this quarter is related to moving Phillips Specialty Products Inc. or PSPI to discontinued operations. With excluding changes in working capital and discontinued operations, our cash from operations for the quarter was $1.3 billion. For the quarter we paid $232 million in dividends and we repurchased $644 million or 9.9 million shares of our common stock. On an adjusted basis, our 2013 return on capital employed was 14%. Slide 5 provides a comparison of our fourth quarter adjusted earnings with the third quarter looking ahead on a segment basis. Compared to the last quarter, our earnings increased were largely driven by improved results from refining. Partially offsetting this are lower earnings from marketing specialties as well as Midstream. I’ll cover each of these segments in more detail later on. The Midstream segment posted lower earnings this quarter as higher earnings from NGL Operations were more than offset by lower earnings from DCP. The 2013 adjusted return on capital employed for Midstream was 15% and this is based on an average capital employed of $3.2 billion. Slide 7 shows Midstream’s fourth quarter earnings of $121 million, a decrease of $27 million from last quarter. Transportation made $50 million this quarter, which is pretty much in line with last quarter. However, compared to last year, this business line is up significantly as results now reflect market rates. DCP Midstream’s earnings decreased by $50 million, primarily due to lower equity gains resulting from DPM’s unit issuances to the public and a long way at lower volumes mainly due to adverse weather impacts. NGL Operations and Other were primarily due to inventory and higher propane margins in sales. On the next slide we’ll move on to a discussion of our chemical segment. In Chemicals, Olefins and Polyolefins ran well with a global capacity utilization of 95% for the quarter. In addition, the SA&S business successfully completed a planned major turnaround of its benzene unit located in Pascagoula, Mississippi. The 2013 return on capital employed from our chemical segment was 26% and this is based on an average capital employed of $3.8 billion. As shown on Slide 9, fourth quarter earnings from Chemicals were relatively flat compared to last quarter coming in at $261 million. In Olefins and Polyolefins, earnings were mainly due to higher volumes and increased equity earnings from its Saudi Polymers Company joint venture. Lower earnings from Specialties, Aromatics and Styrenics more than offset this improvement as a result of lower production and the cost impacts associated with the planned benzene turnaround in the fourth quarter. Moving onto Refining, our realized margin was $10.75 per barrel with a market capture rate of 112%. The global crude utilization rate was 92% and our clean product yield was 84%. During the quarter 94% of the company’s U.S. crude slate was advantaged and this compares with 66% last quarter. The increase was largely driven by additional domestic crudes consistently trading at a discount to Brent. We’ll cover this in more detail on Slide 13. The 2013 adjusted return on capital employed for Refining was 13% and the average capital employed for this segment was $14.3 billion. Slide 11 provides more detail on Refining’s earnings improvements in the fourth quarter. The Refining segment had earnings of $450 million and this is up from a loss of $2 million last quarter. This increase is mainly due to the higher realized margins in spite of market cracks, dropping an average of 28% worldwide. In the Gulf Coast, margins improved largely due to product differential as exports and blending activities helped us realize better clean product prices. We also benefited from the fact that the distillate crack increased nearly 30% in the fourth quarter. The increase in the Central Corridor was largely driven by the widening of Canadian differentials as well as improvements due to butane blending into the gasoline pool. Western/Pacific’s improvement is mainly due to improved clean product yields, product differentials and also secondary product values. For the Atlantic Basin, this region was down due to the impact of lower market cracks as well as Bayway having a major scheduled turnaround during the fourth quarter. Other Refining was down this quarter due to scheduled maintenance on the Keystone Pipeline. All available pipeline capacity was used to deliver crude to our refineries. However a lack of surplus capacity prevented us from capturing additional gains. Next let’s look at our market capture on slide 12. Compared to the market our realized margin improved mainly from feedstock opportunities, most notably in the Central Corridor. In addition, secondary products were less of a negative impact this quarter reducing the margin by $5.54 a barrel, compared with $6.35 last quarter. As captured in the other bar we also benefited from clean product differentials. During the quarter, we realized better prices on average for clean products compared with the benchmark prices. In addition, as RIN prices moderated, the benefit of resulting lower expenses is reflected in this bar. Slide 13 shows the comparison of advantaged crude runs at our U.S. refineries by quarter for 2013 on the left and for the past three years as shown on the graph on the right. During the quarter 94% of the Company’s U.S. crude slate was considered advantaged and this compares with 66% last quarter. The 28 percentage point increase reflects the inclusion of other light and medium crudes which have been trading consistently at a discount to Brent. Some examples include HLS, LLS and ANS. On an annual basis our advantaged crude slate is increased from 62% in 2012 to 74% in 2013. And this is due to processing an additional 118,000 barrels per day of tight oil, additional domestic crudes that consistently trade at a discount to Brent, as well as higher volumes of heavy Canadian crudes. The decrease in other heavy crude category from 27% in 2012 to 24% in 2013 is attributable mainly through downtime at our Lake Charles and Sweeny refineries this year. This next slide covers our marketing and specialty segment, or M&S. Worldwide marketing margins were $2.08 per gallon in the fourth quarter and while our Refining segment benefited from reduced RINs costs during the quarter, earnings and M&S decreased due to lower RINs values created by its renewable fuel blending activities. As previously announced, we planned to exchange PSPI shares for PSX shares that are currently being held by Berkshire Hathaway. At closing, the PSPI balance sheet will include approximately $450 million in cash resulting in a total PSPI value of $1.4 billion. With the announcement of this transaction, Specialties now primarily includes our lubricants business. Part of moving PSPI results to discontinued operations, their earnings accounted for approximately 30% of our specialties results. The 2013 adjusted return on capital employed from M&S was 27%, on average capital employed of $2.9 billion. Slide 15 provides some additional details about the M&S segment. Adjusted earnings for M&S in the fourth quarter were $73 million representing $153 million decrease from the third quarter. Marketing and Others earnings decreased $145 million mostly driven by lower RINs values in the U.S. as well as lower margins internationally. The business unit was also impacted by the third quarter sale of Immingham Combined Heat and Power Plant, or ICHP which had been generating about $15 million to $20 million in quarterly net income. Specialties decreased over the prior quarter was mainly related to lower base oil volumes. Moving on next to Corporate and Other. This segment includes net interest expense and includes corporate overhead cost, technology and other cost not allocated to our operating segments. Corporate and Other costs were $97 million after-tax for the fourth quarter and this compares with $113 million for the third quarter. The improvement of $16 million was mainly due to tax impacts resulting in a benefit to our corporate segment. Partially offsetting this was an increase in overhead or staff cost as well as other employee benefits. Moving next to the fourth quarter cash flow. Cash from operations excluding working capital was $1.3 billion. Working capital changes were negative impact this quarter driven mainly from reduced payables. We paid $232 million in dividends, we funded $623 million in capital expenditures and we repurchased $644 million of our shares. We ended 2013 with a cash balance of $5.4 billion, of which $425 million is tied to cash held by our MLP Phillips 66 Partners. As for our capital structure shown on the next slide, we ended the year with the equity of $22.4 billion and debt at $6.2 billion, and this resulted in a debt-to-capital of 22%. Now after the consideration of our cash balance of $5.4 billion our net debt-to-capital ratio was 3% at the end of the fourth quarter. Slide 19 shows our sources and uses of cash for the year. We started the year with $3.5 million in cash. During 2013 we generated $6 billion in cash from operations, which was sufficient to fund our capital program, to cover our shareholder distributions and to reduce our debt. Asset sales and ML proceeds provided an additional $1.6 billion of cash resulting in a year-end cash balance of $5.4 billion and again noting that $425 million of this is held by Phillips 66 Partners. This next slide shows 2013 adjusted earnings by segment. Full year adjusted earnings were $3.6 billion. Midstream, Chemicals and Marketing and Specialties contributed over 60% of 2013’s earnings, an overall increase from 2012. In the coming years as we grow these more stable businesses, earnings from these segments were expected to become a larger contributor to our portfolio. In Refining despite a volatile commodity environment, this segment generated $1.8 billion in adjusted earnings and $3.8 billion in cash from operations, largely driven by strong results in the Central Corridor. This concludes my discussion of the financial and operational results. Next I'll cover a few outlook items. In Midstream; specifically DCP, the startup of the Front Range Pipeline, the Goliad Plant and the O'Connor Plant expansion are expected in 2014. In Chemicals; for the first quarter we expect a global O&P utilization rate to be in the low to mid-90s. In Refining; we expect the first quarter global utilization rate to be in the high 80s. With regard to turnarounds, our pre-tax turnaround expense is expected to be about $400 million to $450 million for 2014 and between $120 million to $160 million in the first quarter. In Corporate and Other, we expect this segment’s after-tax costs to run between $420 million to $440 million for the year. The total company’s effective tax rate is expected to be in the mid-30s. And lastly we look forward to telling you about our future growth plans at our 2014 Analyst Meeting being held on April 10 in New York City. With that we’ll now open the line for questions.
Operator: At this time we will begin the question-and-answer session. (Operator Instructions) our first question comes from Doug Terreson from ISI Group.
Doug T. Terreson: Good morning everybody and congratulations on your results.
Greg C. Garland: Thanks Doug.
Doug T. Terreson: In the Refining business, and specifically in the West Coast Pacific area, I want to see if we can get an updated strategic and fundamental viewpoint on that business, meaning even if the fundamentals remain lackluster, that is if you think if they will, there seem to be a variety of different strategic options that are available to the Company. And so that’s once if we could get an updated viewpoint towards that business, please?
Greg G. Maxwell: Sure, so I think we said many times that we think that the West Coast is a challenged operating environment, it’s a high cost area to operate – our assets are good assets, we are on a path to Texas, I would say, as you think about net income positive single-digit return business and how do we get crude advantage to the West Coast. So I think you can ask me in April, we’ll probably tell you more about what we are doing to get advantaged crudes in the California, it’s a combination of investments and third-party as we work that. And then, I think we said openly that all options to California I think are on the table, in terms of those assets whether it could be a spin or IPO, variable MLP, a joint venture. As you look at the West Coast, we think those are valuable assets ultimately because we have 110,000 barrels a day of coking capacity there. And so those assets in the future will probably work more than what people think they were today is my view. And I mean that the California market is a big market as everyone knows. We have a continuing interest there, but as we think through the assets or pass the day is to make it better and more profitable. When those assets are well, we don’t see any big capital investments in front of us on the West Coast and so the hold option really cost us nothing.
Doug T. Terreson: Okay, thanks a lot Greg.
Greg G. Maxwell: You bet Doug thanks.
Operator: Our next question comes from Evan Calio from Morgan Stanley.
Evan Calio: Hi, good afternoon guys. Can I ask for some more details on the flow improver business sale to Buffett, any detailed metrics on the transaction on a cash flow or EBITDA basis? I mean it’s one of the first potentially more M&A activity given your asset position and optimization approach. Yes, just some more color around the metrics and the rationale driving and how you thought about and analyze that transaction?
Greg C. Garland: Yes, so I’ll start and then Tim can follow through. It’s kind of an asset that we were really actively marketing or really wanted to sell and we’d have it on-again, off-again conversations with Lubrizol, which is one of the Berkshire Hathaway companies about the asset and frankly our exploration levels were high, given that it is a very specialty type business. It had returns exceeding 30% and it certainly fit well in a portfolio from that perspective. We got the talking with Berkshire Hathaway about a proposed transaction and we found a way that we could achieve high value for the asset and at the same time do it very efficiently for both ourselves and Berkshire Hathaway. It really became a must-do deal for us in terms of creating shareholder value for PSX. And so, yes, Tim if you want to go through some of the detail that’s fine.
Tim G. Taylor: Yes. Evan, when you look at discontinued operations it really highlights that. So that’s a $70 million, $90 million, $100 million EBITDA type of business. So very strong multiple, very tax efficient, good value, good strong business. So I think it was a great way to accomplish value on both sides of that. Yes.
Evan Calio: Okay, great. I’ll look at that. And then secondly, you mentioned building more crude by rail offloading at Bayway and Ferndale. Can you give any volume guidance capacity, your capital spend for that in 2014, like how much will you be able to move the assets crude-wise?
Greg C. Garland: Yes, Evan, in Bayway we’re roughly looking at 50,000 a day on unit trains of additional capacity with that. Obviously scheduling the flexibility can impact that. Relatively modest capital amounts tens of millions that never really come out to final number. Ferndale, they’re similar, probably more in the order of 30,000 a day. Bayway would be operational first half of this year we would expect Ferndale to be operational in the second half of the year and both of those will supplement our efforts to other third-party logistics to increase the flow of light crudes into Ferndale and Bayway.
Evan Calio: Yes. And maybe lastly, if I just could on the – I know you just have announced that the Cross-Channel Connector project, I guess Phase 1 and Phase 2 any other details around that on potential EBITDA and/or the benefit to the refining sector from that connection? Thanks.
Greg C. Garland: Yes, the Cross-Channel Connector goes from our Pasadena terminal on the east side of Houston across their Ship Channel. It allows more logistics connections to other pipelines and terminal assets. So overall it’s got nice volume opportunity on that line. It’s really a short-haul line and I think a lot of the value accrues really from a MLP perspective on that piece, but just as importantly it creates some more commercial opportunities for us, particularly with our Sweeny volumes.
Evan Calio: Got it. Thanks, guys.
Greg C. Garland: Thanks.
Operator: Our next question comes from Jeff Dietert from Simmons & Company.
Jeff A. Dietert: Good morning. You talked about your product export capabilities and now you’ve expanded that to 400,000 barrels a day. I believe that’s more rapid than you had discussed previously. Could you talk about where you’ve been successful there in getting those volumes up and provide a split between the Gulf Coast and other regions?
Greg C. Garland: Yes. It’s primarily Gulf Coast. I think we’ve just been more successful than what we thought in terms of scheduling efficiencies and minor debottlenecking, in terms of pushing more products through. I think in December where we were kind of 250 rate. So I think we’ll continue to push the limits. We’re looking for cheap ways that we can use to get more barrels across there. Certainly we’ve stated our ultimate target is about 500 a day, but almost all that increase is going to be on the Gulf Coast. Minor debottlenecks on the West Coast and then we have underutilized capacity today on the East Coast.
Jeff A. Dietert: Got you. And on your Cedar Bayou hexane project, you talked about first half of 2014 in service state, perhaps that’s a little bit of shortage from previous discussions, but could you just provide an update there and what the current margin environment looks like for that asset once it comes on?
Greg C. Garland: That’s a project still on schedule, on budget, so looking for it in the latter part of first half of this year. So we feel very good about that project and margins are really in line with the guidance we’ve giving in the past, so that 15% to 20% return on a roughly $250 million investment. So it’s a nice increment of growth for the Chemicals business and a fairly high growth, high demand product.
Jeff A. Dietert: Thank you.
Greg C. Garland: You bet.
Operator: Our next question comes from Ed Westlake from Credit Suisse.
Ed G. Westlake: Yes. Good morning, everyone. Just a quick question on the Gulf again, I mean obviously more of your assets are over on the Louisiana side and the crude production is growing and as you get into your asset, especially with some uplift in earnings which maybe is more balanced already in some of the peers. But are there any logistical issues in getting access that you’re seeing from crude for Texas, I’m thinking, any barge or shipping issues?
Greg C. Garland: Well, Ed, we’ve put in service now two MR tankers on the crude side. We move Eagle Ford primarily into Louisiana from Texas, but we’ve also taken frankly LLS up to East Coast last quarter as well. So we use that flexibility where it delivers the most value. Overall pipeline has started up and that’s a major connection to the Gulf – to the west side of the Gulf. And that’s a very positive development in terms of new crude sources. So I think more barges are in service, more options are developing and I think you are going to continue to see a wider selection of domestic crudes available to run in our Louisiana refineries and we’re really taking advantage of that particularly at Alliance and in Lake Charles.
Ed G. Westlake: Right. And then coming to the sort of the LPG, I guess, condensate export facility that you’re building. I guess, down the road you’ve given some guidance on EBITDA and CapEx. Just may be a status update on any permits I think for that, but a broader question is, I mean it doesn’t make sense to sort of add things like condensate splitting capacity at that port facility given the rise of the simple lights that we’re seeing in the system.
Greg G. Maxwell: So, it’s hard for us. We got the permits on the frac. We’re working the permits on the export facility. It will take a little longer in terms of that. I think in terms of the guidance we’ve been giving on CapEx. We’re still in that range and EBITDA still in that $400 million to $500 million range. We're going to take it. Well, you should expect FID this quarter and we have said that. I think the other thing is we’re doing engineering work on the next frac. We're doing, what I would say is preliminary engineering analysis around the condensate splitter and so you should expect us to start moving those projects forward. We just look at the infrastructure that we have in place at Sweeny and Creek and the geographic location of those assets and they’re just ideally situated for us to capitalize on that.
Ed G. Westlake: More detailing…
Greg C. Garland: Yes, and we will give you more detail at the Analyst Meeting in April.
Ed G. Westlake: Okay, yes. And generally across the system, and you have a lighter refining slate than some of the others perhaps with the exception of the West Coast and the Mid-Con area. Are you doing any more investments to sort of – do you need to do more investments to actually at the plant level access light crude?
Greg C. Garland: Yes, we’re kind of 65-35 light, medium, heavy. We kind of like that configuration given the crudes we see coming at us. We’re always looking for debottleneck opportunities, I mean the Eagle Ford is an interesting crude. We do see limits on processing Eagle Ford, but we’re talking about spending $5 million, $10 million increments to remove those limits to process more Eagle Ford even at light refining like Alliance, for example, but we’ll run about 325 a day or so on the Gulf Coast of light sweet and at this time we don’t envision significant capital investments to change that slate, Ed.
Ed G. Westlake: Okay. Thanks very much.
Greg C. Garland: You bet.
Operator: Our next question comes from Paul Cheng from Barclays.
Paul Cheng: Hey, guys. Good morning.
Greg C. Garland: Hi, good morning.
Paul Cheng: Greg, I think that there is some news coming out from different news matter talking about your Whitegate and Melaka Refinery up for sale and people looking at that and they have some interest. Is there any update you can provide?
Greg C. Garland: So, yes, at Whitegate we’re kind of in the middle of a process and probably shouldn’t comment too much on that. There is interest in the facility, but you have to context that interest with this dip in Atlantic Basin refinery I would say. And then in Melaka, I think we said that it’s a non-strategic asset and there is a process underway around that, but it’s a process that’s really defined by the formation agreements of the joint venture and so we’re working that. And I think that you should expect that this year, in 2014, we’ll get to decision points on both Whitegate and Melaka.
Paul Cheng: All right. That’s great. And one earlier that, I mean you guys provide – talking about the secondary products, their launch is narrowing and also that their destock [indiscernible] there is two of the really big reason behind the strong refining result. Specifically on the Western Pacific and Central Corridor, those two regions, if we combine to the third quarter can you establish that’s a bit down, what’s the benefit from those two items in those two region sequentially?
Greg C. Garland: So I think we can kind of go through that at a macro-level. We just start with the West Coast, first of all its pricing was lower. So the hurt was less because the relative spread between the crude price and the secondary products was lower. Fuel prices were looking better and NGL prices were little higher and so that’s the primary driver on that. And then when you get move to Central Corridor, it’s around – well I think coke was a little better and then of course higher NGL prices drove that also.
Paul Cheng: Yes. Is there any kind of number that you can share?
Greg G. Maxwell: With regard to what aspect of it, Paul?
Paul Cheng: Right. I mean that say just [indiscernible] improvement sequentially on the secondary product, $2 or anything that you can share?
Greg G. Maxwell: Well, on the secondary products, if I am following you, what we included in the appendix for the Central Corridor for example, the secondary products where a negative impact on a realized margin by $6.27 barrel.
Tim G. Taylor: And I’d say that two-thirds of that Paul is oak.
Greg C. Garland: Oak.
Greg G. Maxwell: That’s right.
Paul Cheng: And do you have that number for the third quarter. I’m just looking at sequentially what is the improvement or narrowing in that loss?
Greg G. Maxwell: Yeah, third quarter was $6.35, 2013 right and I would say coke is going to represent two-thirds of that loss in those gains, close $5.54.
Paul Cheng: Or that maybe – let me ask you in the other away, if I looking at say sequential in the fourth quarter, is there any sort of one-off operating income, whether it is in an extremely high level of that distract cargo you guys have been able to acquire that you think maybe somewhat unique to the fourth quarter and may not be repeatable into say the first quarter of 2014.
Greg C. Garland: I don’t think so. You know Ponca ran really well and it increased the amount of its domestically produced crudes around Oklahoma and Ponca City. I don’t think there was anything unusual, pretty clean quarter actually. It was not only in Central Corridor but most regions.
Paul Cheng: Okay.
Greg G. Maxwell: One of the biggest impacts you can think across is really at Bayway and the turnaround at Bayway if you think about unusual items across the system.
Paul Cheng: All right. Yeah sorry, chief Ferndale [ph] short one yes, go ahead great.
Greg C. Garland: I was just going to say when you look at the refining results the unusual items that I would think about were a negative impact that had happened in the Atlantic because of the downtime at Bayway and impact at Humber. Those would be the two things I would point to that were kind of unusual for the quarter.
Paul Cheng: Perfect. Two really quick one, one, do you have the current market value of the inventory in excess of the bulk, and secondly that because of the way defense or substantially why the defense so in the fourth quarter. I thought that at the refining we had some better results because of trading opportunity, but you still coming with a loss. Is there any thing particularly in the quarter that too a loss and not seeing a profit that what we’ve seen in the other peer advance that defense was really wide?
Greg C. Garland: So let’s do the inventory on for…
Greg G. Maxwell: On the inventory replacement cost at the end of the year, Paul, it was about $7.6 billion.
Paul Cheng: Thank you.
Greg G. Maxwell: And then I will kick it over to Tim, but you know as we mentioned earlier part in some of our earlier comments, part of the driver was the plant maintenance on the Keystone pipeline coming down out of on the Canada side and I don’t know is there any…
Tim G. Taylor: That’s primarily the difference that we saw.
Paul Cheng: I see. Okay very good. Thank you
Tim G. Taylor: Thank you
Greg G. Maxwell: Thanks Paul.
Operator: Our next question comes from Doug Leggate from Bank of America Merrill Lynch
Doug Leggate: Thanks, hi good morning or good afternoon everybody. In your presentation, obviously you talked about the change in definition I guess of how you see advantaged crudes, just wanted to get a little more detail on that a bit. Are you saying basically that you’ve changed the definition, which means you’re no longer pursuing a more aggressive change in the slate or are you still expecting to have some substitution within that newly defined 94%. I’ve got a couple of follow-ups please.
Greg C. Garland: Okay. The definition really it’s not definition, it’s just the fact that these particularly the Gulf Coast crudes and ANS have consistently traded in the fourth quarter at a significant discount to Brent. And I think that’s a part of our crude slate and we have always said that we expected those crude to discount and when they did they would turn to advantage. That said, we continue to work on logistic solutions, particularly to the East and the West Coast and to the Gulf Coast and we’re very active in finding ways to substitute one advantage crude for another, particularly with options that we see in the Permian and Mid-Con for crudes that deliver more value to our refining operation. So it’s a very active area for us, both in terms of light, medium and heavy crudes and the logistics and the operating optimization as we go through.
Doug Leggate: I guess what I’m trying to understand is that, was it a proactive – there wasn’t a proactive change in the fleet. It was really more to what the market gave you that the [indiscernible] 94%. Is that the right way I am thinking about it?
Greg C. Garland: I think that’s probably right. I think that in the past we had not included LLS or HLS or ANS to that matter in advantaged crude because it was trading at Brent or better. And what we’re saying is now given that products are priced off a brand and we think that will continue that if the crudes are pricing at consistently at a discount of Brent, we should consider those consider or consider those advantaged. Now, I don’t think it says that we’re any less aggressive about substituting higher discounted crudes. But your point is correct and that the market is the primary reason why we are considering LLS or HLS or ANS advantage at this point.
Doug Leggate: Thanks, Greg. It’s very clear. If I could just go to a quick follow-up please, I don’t hold out a lot of hope in this one, but any change that you can give us a breakdown between Bayway and Europe in terms of its split of earnings in the quarter or the loss in the quarter?
Greg G. Maxwell: You’re right. There is no chance on that one.
Doug Leggate: Okay and last one from me is really more of – kind of big picture issue. I guess correct, you’re often quite hopeful about your support for crude exports in contrast to some of your refining peers. I wonder if you can just give us a quick kind of summary as to why you’re taking that. I will leave it there. Thanks.
Greg C. Garland: Yes, well, thanks. I think first of all, I think I came out in May of 2012 and said, we wouldn’t be opposed to lifting the ban on crude exports. We do encourage a thoughtful and broad conversation around energy policy in our country and I think you got to look at that holistically. It’s not just crude exports, but it’s also infrastructure and actually pipelines that could be marine and I think you just can’t pick one of them and pull it out separately. So we don’t oppose to seeing the crude ban. I think you’ve got to look at RFS, you’ve got to look at infrastructure, whereas pipeline – can we improve the pipeline or not in this country, all the way to marine infrastructure limitations that we have in this country. So in generally we are free traders, but we’d like to see a free market also.
Doug Leggate: All right and I appreciate the answer. Thanks, Greg.
Greg C. Garland: You bet. Thanks.
Operator: Our final question comes from Roger Read from Wells Fargo.
Roger Read: Thank you for sliding me in here into the process. I guess, I’d like to may be ask a little more about the Midstream and obviously one of the segments you really want to grow. You’ve talked about at the beginning of the call some of the things starting in 2014, what else can we look for there and what are the sort of expected contributions of those projects?
Greg G. Maxwell: Well certainly as you know our own Midstream business, I would say we’re in engineering investment heavy phase of that. And we see the EBITDA contributions of those investments starting in 2015 and 2016 and this is a very difficult organic build activity. The DCP Midstream has had quite an active capital program over the years, last couple of years and going forward we still see $46 billion of ongoing capital opportunity in front of DCP. And so I think we’ve got several pipelines coming on, certainly we got Sands Hills, Southern Hills they are in process and they are ramping up and over the next I say two years maybe three years, we’ll get those products, our pipeline is fully ramped. Of course you have the front range in Texas Express Pipeline this year that will come in. And so we started the Goliad Plant and so we’ve got a host of gathering and processing facilities that will be coming on in 2014 and again these will be helped to fill the pipes that are already constructed and underway. So I think we feel pretty good about the growth profile in terms of NGLs for DCP. We look at that expect something in the order of 4%, 5%, 6% a year growth in terms of that business, in terms of our expectations of that business. I think we will be able to meet that.
Greg C. Garland: And then of course you got the additional transportation assets that we would expect to come on this year. The rail unloading facility at Bayway we think happens in the first half, with Ferndale probably second half of this year. There is some additional things that we are doing in transportation. We haven’t been public on yet, probably we want to talk about those in April, but the transportation assets or transportation business line within the Midstream segment will probably contribute EBITDA faster than the NGL business line, NGL investments are going to take a little bit longer to payoff.
Roger Read: Sure and I guess given the exceptionally cold weather and the impact on the pricing especially of propane across the NGL space, how do you look at that as in terms of a net impact on Midstream here in the first quarter. Is there enough positive out of the price moved to offset negative you might see elsewhere in the business with higher prices, any help you can offer or so in that area?
Greg C. Garland: I think in general we would say, first quarter will be directionally positive for us. Ethane continues to – trying to follow natural gas and trade that at – like parity with natural gas. And then you’re always going to have what I would say is instantaneous impact of the cold weather and limited infrastructure that is going to make things very volatile going forward.
Roger Read: Yes, we are all aware of volatility that’s for sure. Last question just to sort of a housekeeping issue, the other refining segment was negative in the quarter. Was that attributable to anything in particular or just a function of how things are moving during the quarter?
Greg C. Garland: It’s really a function of how things are moving in and then again that limited – somewhat limited pipeline space bringing Canadian crudes into the U.S. that at least we can trade around that asset.
Roger Read: Okay, thank you.
Greg C. Garland: Thanks.
C. C. Reasor: So I guess that was the last question and I do appreciate everybody’s participation and interest in the Company. All this material will be posted on our website. We will have transcripts available soon and we look forward to seeing a lot of you in April, in New York. Thanks to all. Bye, bye.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.